Operator: Good afternoon ladies and gentlemen, and welcome to the miRagen Therapeutics Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, instructions will be given at that time. As a reminder, this conference is being recorded. I’d now like to turn the call over to Luke Heagle from Pure Communications, you may begin sir.
Luke Heagle: Thank you and good afternoon, everyone. On the call today are miRagen’s President and Chief Executive Officer, William Marshall; Chief Financial Officer, Jason Leverone; and Executive Vice President of Research and Development, Paul Rubin. Before we begin, I would like to remind everyone that this conference call and webcast will contain forward-looking statements about the company. These statements are subject to risks and uncertainties that could cause actual results to differ. Please note that these forward-looking statements reflect our opinion only as of the date of this call. We will undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Factors that could cause actual results or outcomes to differ materially from those expressed in or applied by these forward-looking statements are discussed in greater detail in our most recent filings on Form 10-K and our other periodic reports on Form 10-Q and 8-K filed with the SEC. I would now like to turn the call over to William Marshall, President and Chief Executive Officer of miRagen. Bill?
William Marshall: Thanks, Luke. Good afternoon and thank you for joining us for our second quarter update and results conference call. We made significant progress advancing our pipeline of microRNA targeted therapies in the second quarter. As a reminder, we have employed what we call foothold progressive de-risking clinical development strategy for each of our clinical programs. This means that we design early clinical trials that are focused on biomarker validation of the mechanism of drug action in a rare but genetically stratified disease. This foothold strategy is designed to potentially allow for a more rapid and cost-effective pathway to first approval. Additionally, while we believe the drug candidate could provide benefit to patients with the rare disease proving mechanism of action in a clinical disease state can also provide evidence that the same product candidate may benefit patients in other expansion indications that may be due to similar or overlapping pathology. We also believe that first-in-human clinical studies designed to measure biomarker readouts of drug action help to de-risk the drug candidate and provide important insights that can help guide Phase 2 clinical trial design and expanded indication trials. I will begin with an update on our lead anti-cancer product candidate MRG-106 which is currently in a Phase 1 multiple ascending dose study in patients with mycosis fungoides. Mycosis fungoides or MF is the most common form of cutaneous T-cell lymphoma, a rare and sometimes deadly disease that in many cases causes painful disfiguring tumors on the skin that is estimated to affect between 16,000 to 20,000 people in the United States. MF can be a serious condition and there is a strong need for new treatment options, with acceptable safety profiles. In June 2017, we presented interim Phase 1 trial results for MRG-106 in subjects with MF at the American Society of Clinical Oncology Annual meeting. Subsequent to our presentation at the ASCO annual meeting, subjects enrolled in the trial continued to show improvement in their mSWAT score. As of July 26, 17 of 18 subjects treated systemically with MRG-106 showed mSWAT score improvement and a magnitude of mSWAT improvements generally correlated with the amount of time, the subject received MRG-106 treatment. Seven of nine subjects who received more than a month of dosing of MRG-106 showed a 50% or greater improvement. In addition, it is then observed that subjects receiving the treatment via intravenous infusion appear to have improved at a higher rate than those receiving the treatment via subcutaneous injection. Furthermore, MRG-106 has been generally safe and well tolerated at all dose levels evaluated states. We expect to present additional interim Phase 1 data at a scientific conference in the fourth quarter of this year. In May, we were pleased to announce that MRG-106 was granted orphan medicinal product designation for the treatment of cutaneous T-cell lymphoma by the European Commission. This follows the U.S. FDA granting orphan drug designation MRG-106 for the potential treatment of mycosis fungoides. We continue to execute on our foothold strategy for MRG-106. With the early safety and efficacy signals, we have experienced in treating CTCL in our clinical trial, we believe we are ready to expand into additional indication and we expect to begin dosing subjects in additional oncology indications under an amended protocol in the second half of 2017. Based on the experience gain in developing MRG-106 or MF and following discussion with the FDA in June, we plan to evaluate MRG-106 in additional hematological malignancies within the current Phase 1 trial including adult T-cell leukemia lymphoma, the fierce large T-cell lymphoma and chronic lymphocytic leukemia, as in each case the disease process appears to be related to an increase in microRNA-155 levels. In 2018, we intent to initiate a Phase 2 clinical trial for MRG-106 to treat MF patients. This progress in our MRG-106 program is very gratifying and is a result of both, a strong environment of collaboration with regulators and our clinical team but also the performance and safety thus far exhibited by the drug candidate. Turning to our other lead drug candidate, MRG-201. I am pleased to announce that the Phase 1 trial evaluating MRG-201 in induced cutaneous fibrosis was completed in the second quarter as anticipated. 54 volunteers participated in the clinical trial, 47 of whom were administered MRG-201 and seven of whom were enrolled in [under-web] [ph] study procedures without receiving a dose of MRG-201. MRG-201 was generally safe and well tolerated with self-limited injection site reactions of mild or moderate severity being the most common adverse event. We plan to present complete clinical trial results for this program at a scientific conference before the end of this year. Again, while the trial’s primary endpoints are safety and tolerability, we designed the Phase 1 trial to measure exploratory biomarker driven endpoints that may help to validate the product candidate’s mechanism of actions in human. In 2018, we plan to initiate a Phase 2a double-blind randomized trial to evaluate MRG-201 in subjects with a predisposition for keloid formation. Future indications of these studies for microRNA-29 replacements could include other fibrotic diseases of the eye and lung. As you may recall, in May 2017, we announced an extension of our research collaboration with Servier. Together with Servier, we intend to advance MRG-110 into clinical development in 2018. MRG-110 inhibits the activity of microRNA-92a which has been reported in multiple peer reviewed scientific publications to be a regulator of new blood vessel creation. This may indicate that MRG-110 could be useful in the treatment of cardiovascular disease and other diseases where vascular flow is compromised. I would now like to discuss some recent changes to our Board of Directors. Following the resignation of John Creecy and Kyle Lefkoff as members of our Board, we have appointed Chris Bowden, M.D. and Jeffrey Hatfield to our Board of Directors effective August 10, 2017. Chris is currently Chief Medical Officer at Agios Pharmaceuticals and Jeff most recently served as President and Chief Executive Officer at Vitae Pharmaceuticals until its acquisition by Allergan in 2016. Their deep biopharmaceutical experience will be invaluable as we advance and expand our pipeline of microRNA targeted therapies. We look forward to benefiting from their knowledge and insight. On behalf of the Board, I would like to thank John and Kyle for their significant and valued contributions to the company. In summary, we believe we have made important progress advancing our pipeline in the second quarter and anticipate that the planned expansion of our MRG-106 and MRG-201 programs represents continued advancement and validation of our foothold strategy. With that experience, we believe we are well positioned to advance our franchises for microRNA-155 and microRNA-29 targeted therapeutic candidates enabling the potential creation of greater long-term value for patients and shareholders. With that I'll turn the call over to Jason Leverone, our Chief Financial Officer to summarize the financial results for the quarter. Jason?
Jason Leverone: Thanks Bill. I appreciate the opportunity to update everyone today on our second quarter financial results for 2017. We ended the quarter with approximately $46.3 million in cash and cash equivalents compared to $22.1 million as of December 31, 2016. Total net cash used in operating and investing activities was approximately $14.1 million for the first half of 2017. Based on our current development activities, we believe our current resources will be sufficient to fund our planned operations through the end of 2018. Moving now to operating expenses. Research and development expenses increased to $5.5 million for the second quarter of 2017 from $3.4 million for the second quarter of 2016. The year-over-year increase in research and development expenses in the second quarter was due primarily to an increase in outsourced manufacturing expenses of $1.3 million and higher clinical expenses of $0.3 million. These increases were partially offset by a decrease in outsourced preclinical research and development costs of $0.3 million as our programs advanced further into clinical development. Additionally, [indiscernible] [R&D team] [ph] we experienced a year-over-year increase in personnel cost of $0.8 million including share based compensation. General and administrative expenses increased to $2.6 million for the second quarter of 2017 from $1.2 million for the second quarter of 2016. The year-over-year increase in G&A expenses was due primarily to a $0.8 million increase in professional fees, expenses and generally associated with being a public company and a $0.4 million increase in personnel cost including share based compensation. Finally, our second quarter of 2017, net loss attributable to common stockholders was $7.3 million or $0.34 per share basic and deluded compared to $3.5 million or $5.88 per share for the second quarter of 2016. Lastly, before I turn the call over, I am pleased to announced that miRagen Therapeutics has been included in the Russell 2000 and Russell 3000 Indexes following a reconstitution of the Indexes in June 2017. We believe our inclusion in these indexes reflects our many operational and financial achievements to date and we look forward to advancing and expanding our product pipeline to create value for patients and shareholders in the years ahead. With that, I'll ask the operator to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] We'll take our first question from Liana Moussatos with Wedbush Securities. Please go ahead.
Liana Moussatos: Congratulations on your progress. Thank you for taking my questions. The first question is kind of simple, what does rapid intravenous dosing mean in terms of dosing fine and are you expecting any increase in side effects? My second question is, are you going after all three of the ATLL, LBCL and CLL patients at the same time in the Phase 1 trial. When do you think you can start the Phase 2 for MF and what is the design look like and then I think that’s all for now.
William Marshall: So, in terms of the question about IV dosing the intravenous administration that we’ve reported on to-date has been with a two-hour infusion. Our goal in increasing -- was really moving towards IV for a few reasons, one is that we can enhance the maximum concentration of drug in the blood stream and there is a variety of literature report for [indiscernible] type therapeutics, adjusting that an increase in what’s known as emacs [ph] can drive additional uptake of the drug and activity of the drug. We have seen some encouraging results to date, we will be moving forward with additional studies where we will be continuing to dose intravenously and move towards a dosing paradigm that is more of a rapid intravenous administration allowing for additional increases in the maximum concentration in the blood. We are very much focused on monitoring the potential for any side effects in the clinical trial and I am happy to report to date that we have not observed any serious adverse events that have been consider drug related, independent of the route of administration. Paul, I don’t know if you wanted to add anything.
Paul Rubin: Yeah, I think I'll just to add to what Bill said. I mean what we’re intending to do is go from a two-hour infusion to essentially a 2-minute infusion. So that’s a substantial difference in the time. Still suggest there is two benefits, one relates to we hope increasing tissue penetration, the other obviously is patient and physician convenience that if you can give the dose over 2 minutes it actually can meet even either outpatient administration or even home administration as opposed to a 2-hour infusion which were required in infusion center. So, there is multiple benefits going to that. And again, with other [indiscernible] with rapid infusion you might anticipate side effects, we don’t believe and we haven’t seen anything that pertains that. So far so good.
William Marshall: And that in regards to the second question around new indications, we have had the appropriate discussions and protocol review with the FDA, we are working through discussions with IRB at various institutions some of which we are currently conducting, the CTCL trial other new centers and we will begin dosing in the different indications based on patients' availability that has the appropriate characteristics. And then I think your other question was, when we anticipate starting the Phase 2 trial in CTCL. As you know we are continuing to dose in Phase 1 setting in CTCL, really being able to better understand route of administration dose and dose schedule optimization that will drive certain parameters around the CTCL Phase 2 design, so we will be sort of data driven as usual in that what we have guided thus far is that we will begin that trial by second half of 2018. And then the design of the trial, Paul did you want to mention a couple words, we’re really still are evaluating the overall design based on Phase 1.
Paul Rubin: Yes, just to say that this would be a controlled trial and we are still evaluating a couple of ways in which to optimize it. We want to leverage the data we have obtained to-date. So, we want to capture many of the characteristics that to-date we’ve seen, responses well, obviously want to incorporate that into the design of the next trial. And the way you could it is obviously we have studied the ADCETRIS trial, Seattle Genetics, trial quite closely and that’s actually embedded study. So obviously we want to take advantage of that fact. But there are also some things that we believe we can do with this disease that might actually expand what they’ve looked at. But certainly, from a primary endpoint perspective, we are going to take advantage of what’s already been kind of embedded and approved by FDA and the trial will be a controlled and designed and we hope we have enough power to show true benefit.
Operator: We will take our next question from Madhu Kumar with Chardan.
Madhu Kumar : Hey, guys. Thanks for taking my questions. If I heard [ph] a comment that was just made by Paul, what is kind of lessons you think you will learn from the ADCETRIS trials and how can you kind of -- what are the risks and opportunities that you could have taken away from those studies at this point with regards to the Phase 2 for you guys in MF?
William Marshall: That’s a great question. I mean one of things that I thought was very interesting, albeit this is kind of a stratified population that they have to have the presence of C30. But if you look at the response rate for non-active therapies looking at this endpoint we only see about 12.5% response for Bexarotene and/or Methotrexate. So, if you take that information and this is using RO4 which is showing 50% improvement in essentially mSWAT that’s consistent once the change is consistent for four consecutive months. So, if you look at that rate of response for an active therapy and then if you look at the response at least that we are seeing in patients that have received more than four weeks the delta is actually quite large. So, I think that if we can repeat that particular set of data we are not looking at a study that will require hundreds of patients to show us significant results. So that’s one I think a thing that we can definitely take advantage of, utilizing the same endpoint and looking at the response for the control, obviously we have some real opportunity to leverage those data.
Madhu Kumar: Okay, great. And then also kind of [indiscernible] what is the timing of the additional indications [indiscernible] is there any chance for ASH or would think [indiscernible] are the next logical timepoint to expect data from the Phase 1 study in these new indications?
William Marshall: It will be driven again by how quickly we can get the sites up and running and sort of our ability to recruit patients and begin dosing. I would say generally our focus for ASH is going to be on extended dosing time, a consistent dosing, consistent route of administration and beginning to explore really dose optimization. It's likely that we will then begin reporting out on the additional expansion indications at meetings in the future after the ASH meeting.
Madhu Kumar: So, kind of following the idea of kind of consistent administration, is the protocol in them including switching patients who are being dosed with a subcu MRG-106 to be switched over to either just regular IV or rapid IV administration?
William Marshall: Well, the majority of the patients that are on the trial now they are responding, it's unlikely at this stage that we're going to switch the way that we're dosing. but all new patients that are being entered will be, unless the data proves otherwise, will be dosing with IV push. that is, once we do see -- the other aspect remembers we want to look at the robustness of the other response. So, once patients have demonstrated that they have four months consecutive improvement of greater than 50% at that time we will start to look at even in a controlled way at altering the maintenance therapy dose. So, exactly what you're saying, we'll start looking at switching people that are on an infusion either IV push or even theoretically looking at patients where you could induce a response with IV push can you then switch them to subcutaneous for maintenance and to also look at less frequent dosing and that some of our early data looking on a patient by patient basis that it looks like the benefit of the drug certainly seems to last for at least a few weeks may be more of an individual dose. So, it could either be -- so what induce can we switch from maintenance to either subcu or IV push on those basis that are on infusion and can we dose less frequently, for example may be two weeks or once a month once we've induced the significant response.
Madhu Kumar: Okay. And I've got one more for Jason. How does this potential expansion and [indiscernible] indication subscribe to your perspective on R&D spend to the second quarter and kind of maybe previous use on how R&D spend looks moving into end of 2017 and into early 2018?
Jason Leverone: Right. Thanks for the question. So, I do expect R&D expenses to increase over the next few quarters as we advance these trials and do clinical development and have multiple trials ongoing next year. And then in terms of G&A expenses I think those will settle out over the next few quarters from the first quarter we have already seen our G&A expenses. We've built both of these into our forecast and we've retained our cash runway guidance today with these new trials included.
Operator: And we do have a follow up question from Liana Moussatos with Wedbush Securities. Your line is open. Your line is open if you can unmute yourself.
Liana Moussatos: MRG-201 beyond the keloid Phase 2a trial next year you have presented timing plans to start any kind of work on eye and lung indications. And then MRG-110 what are miRagen's versus Servier's duty?
William Marshall: In terms of 201 we continue to carry forward with the evaluation of MRG-201 as well as next generation microRNA-29 mimics in the setting of the lungs, much of that was is currently being supported through grants in collaborations and we'll continue to establish them both the efficacy and do the requisite studies that would support our ability to move into clinical trials. So, we'll continue to do that, those activities and move towards the initiation of clinical trials in the studying of IPS. For the ocular indications, we've spent a fair amount of time recently doing a lot of preclinical evaluation, distribution studies to understand where the MRG-201 and other microRNA-29 mimics are found after various routes of administration and we have now identified a couple of interesting indications that we will then be doing some additional follow up preclinical valuation that will really guide our entry to the clinic with that molecule. For MRG-110, we are focused as you know, the molecule is inhibitor of microRNA-92A, it is able to in that induce new vessel growth and so we will be looking -- we will be executing on our really our foothold strategy here where miRagen will be focused on some of the peripheral indications and Servier will be able be leading on the cardiac indications primarily focused in heart failure.
Paul Rubin: Yeah, but it is a true joint development committee, so nothing is done by any company independent of complete input from the other?
Operator: And that does conclude our Q&A session for today, I would like to turn the conference back over to management for any additional or closing remarks.
William Marshall: Great. Thank you for your time today. As I can leave you with takeaway from the quarter and from today’s call, it is that we believe that our foothold clinical development strategy is working as design. Despite both clinical trials of MRG-106 and MRG-201 being first in human study, we have been able to show mechanistic proof of concept in each of these programs. For example, in addition to showing a differentiated safety profile, we have demonstrated the ability of MRG-106 to modulate its target microRNA-155 in a disease space with an initial therapeutic signal which we believe supports expansion into larger clinical trials of MF and other pathological condition where microRNA-155 is elevated. We intend to continue to set and achieve goals in an efficient manner delivering on our strategic objectives while facilitating design of future clinical trials necessary to support regulatory approval. We look forward to keeping you informed as we execute our strategic objectives in the months and year ahead. We also look forward to seeing many of you on the road and as we attend the Wedbush and Cantor Fitzgerald conferences this quarter. In the meantime, please reach out to us, if you have any additional questions. Thank you and have a great afternoon.
Operator: And once again that does conclude today’s conference call, we thank you all for your participation and you may now disconnect.